Operator: Greetings ladies and gentlemen and welcome to Blink Charging Second Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] It is now my pleasure to introduce your host, Mr. John Nesbett of IMS Investor Relations. Thank you sir, you may begin.
John Nesbett: Good afternoon everyone and welcome to Blink Charging's second quarter 2020 investor call. On the call today we have Michael Farkas, Blink Charging's Founder and CEO; Brendan Jones, Chief Operating Officer; and Michael Rama, Chief Financial Officer. I'd like to take a moment to read the Safe Harbor statement. This conference call contains forward-looking statements as defined within section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements and terms such as anticipate, expect, intend, may, will, should, or other comparable terms involve risks and uncertainties because they relate to events and depend on circumstances that will occur in the future. These statements include statements regarding intent, belief, or current expectations of Blink and members of its management, as well as the assumptions on which such statements are based. Prospective investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve risks and uncertainties, including those described in Blink's periodic reports filed with the SEC and actual results may differ materially from those contemplated by such forward-looking statements. Except as required by federal securities law, blink undertakes no obligation to update or revise forward-looking statements or reflects change conditions. Okay, I will now turn the call over to Michael Farkas. Go ahead Michael.
Michael Farkas: Good afternoon everyone. Thank you for joining us for an inaugural quarter of the earnings call. We are pleased to have this opportunity to review our results for the second quarter of 2020. Let me begin by saying that his is an incredibly exciting time in our industry. As many of you may know, Blink was founded in 2009. Since then we have been known as pioneers in electric vehicle charging technology. Some would say we were ahead of the curve. In fact, in many ways we still are. So although we have a lot to do, it is particularly gratifying to see the recent momentum in the EV industry. It is evident that EVs are better for the earth and the environment than their traditional internal engine counterparts and their adoption is a huge step forward in our stewardship of the planet. This is an important element of our business. But I also started the company because I've always been a car guy as well as an entrepreneur, and the opportunity to combine these pursuits was irresistible. I said the word car just after I said the word mom, my father never forgave me for it, and I've loved the evolution of the automobile and the electric cars and their increasingly effective [ph] performance since their inception. I knew that as EVs became more accessible to the general public, there would be a massive need for infrastructure to support the inevitable sea of change that would follow. I also saw a potentially amazing business. Historically, if you look at the transportation market, 99% of car manufacturers have gone bankrupt. It is the few who started the business where there is real growth and where companies have truly thrived and been very profitable. That is what we are building here at Brink for the EV space. This was an amazing quarter and first half of 2020 for us. Besides the economic challenges of COVID-19 in the first six months of 2020, we have already surpassed our revenues for all of 2019. That is an amazing feat. But it is more important to understand that to be successful in the industry we must have our equipment deployed in the right spots in order to have that utilization. It is setting a land grab of sorts. With that in mind, we are laser focused on rolling out our network of charging stations across the country and globally. This will be a key to driving our long-term value. We have now deployed more than 23 charging stations throughout the U.S. and we have the knowledge and experience to build that number exponentially. We have registered memberships at more than 180,000 EV drivers and growing as more consumers chose electric. While very focused on our planned growth we have made six acquisitions since our inception and acquisitions are a very important part of our strategy. To that end, in the 10-Q we just filed we announced that we are now buying certain assets of another EV charging operator that was done subsequent to the closing of the quarter. I can't really say much on this project, although I would love to, but I can tell you that it is beyond amazing strategic fit for us as we look to expand our network. The company that we are acquiring has some substantial grants and that will allow us to develop and build out more charging stations using government capital, free money. It is very exciting and there is more of this to come. As we are looking at the broader industry, the EV industry is set to emerge from COVID-19 stronger than ever before. Demand for electric vehicles continued to grow and lawmakers in many states, including our home state of Florida have taken notice. We are publicly committing their money the governments to building out EV infrastructure. They are passing EV infrastructure legislation and that will only further impresses upon the importance and the timeliness of our business and paves the way forward for Blink's success. At Blink we were excited to see a recent market report by BloombergNEF project that the need for charging points will top 290,000 by 2040, that's over a value of $500 billion worldwide. Another forecast from Research and Markets estimate that global EV charging infrastructure market will reach a $140 billion by 2030. It is growing at an estimated 31 CAGR until then. Unlike traditional automobile makers, who have had to deal with the oil market's volatility, the EV industry can by and large side step the commodity turmoil. Whether oil prices are high or low electric vehicles remain a significant and cleaner alternative to traditional vehicles and are widely considered the next significant evolution in transportation. The big oil companies and utilities are taking notice. Giants like BP, Shell, Total are making major investments in EV charging as they recognize an industry transformation is well underway. As more EVs take to the road, more charging stations will be needed. In the coming months car companies have announced plans to unleash a wave of new plug-in models in an effort to catch up with Tesla and meet government's tightening restrictions related to vehicle pollution levels. We are excited about the momentum we are experiencing in the EV space which drives increased interest in our products and services. As electric vehicles become more accessible and commonplace on the road, charging station locations and available become increasingly critical. In fact, Apple Computer recently announced that its new Apple Maps on iOS 14 will include EV charging routing - which will include routing to our Blink charging stations. This investment by Apple signals a significant shift in electric vehicles becoming mainstream. I will just close up by saying we have also strengthened our capital position to support our growth and in total through August 10, we have sold 3.4 million shares of common stock under our ATM for aggregate gross proceeds of approximately $17.8 million and as of August 12 we have a cash position of approximately $16 million. I would like now to turn the call over to alike the optical turn the call over to Brendan Jones, our Chief Operating Officer.
Brendan Jones: Well, thank you, Michael. Good afternoon. It is a pleasure to speak with everyone today. As you might imagine, we have been very busy at Blink as demonstrated by many of the recent developments at the company. I'd like to take this time to review some of those highlights with you. And as we start, it's one of the key ways that we can scale our business is through the identification and the execution of our strategic partnerships. As such, Blink has entered into some very noteworthy relationships over the past few weeks and I am going to take some time here to go over those. We recently announced an exciting multiyear joint venture agreement with Envoy Technologies. Now Envoy is a leading provider of shared on demand community-based electric vehicles. And the venture brings electric vehicles and EV charging to urban residents across the United States. Now this is by deploying charging stations at every Envoy property location. Envoy's community-based electric vehicle mobility platform grew an astonishing 350% over the past two years and we think our charging technology will be a great complement to their operations. Additionally, we had another great announcement just recently as regards to Virginia Clean Cities Association. They have been a long-term partner of ours. Blink was awarded a grant to deploy 200 Blink IQ 200 19.2 kW charging stations across the mid-Atlantic region. Now this is an exciting initiative that brings together local and regional partners to create, we like the term an enduring regional ecosystem to promote the support and the use of electric vehicles through the build out of convenient EV charging stations and we are really proud to be part of that activity. And to add even more good news, we recently signed a partnership with Cushman & Wakefield, and that has a lot of us here at Blink very excited. For Blink, the relationship with Cushman, who is a leader in real estate across the United States, this agreement provides marketing and deployment opportunities for Blink charging stations and services across all their client locations. Through the agreement, Cushman & Wakefield, they will engage their brokerage team and the expansive network of property managers to offer Blink equipment and services as an amenity to the commercial properties they represent which is an astonishing amount. Given the reach of Cushman & Wakefield's platform, this agreement is a huge opportunity for Blink to sell additional chargers and services over an extended period of time. Also as shift to the technology front, we recently announced a development agreement with EnerSys, the global leader in stored energy solutions for industrial applications. Now this agreement is a little different. What it will do, it will help Blink in developing high-powered wireless and enhanced DC fast charging solutions with battery storage capability. We are going to combine this with Blink's inductive parking bumper technology which is underdeveloped and this will enable EV owners to charge their vehicles without physically interacting with the charging station while providing a faster and even more effortless charging experience. Also by developing DC fast charging stations with what we term next-generation integrated energy storage capabilities, we can make state-of-the-art charging technologies more affordable and even more accessible. Now I want to shift a little bit and focus on internationally where we continue to expand our footprint by making progress with our ongoing deployments in the Dominican Republic, Israel and our joint venture with Eunice Energy in Greece. Blink's charging stations are now deployed across six countries and three continents and we fully intend to leverage our strategic partnerships and advanced charging station technology and expand our worldwide presence even further. We have made a lot of structural improvements to the company across the board, including expanding and improving our sales, service operations, and product development teams. We are now very well positioned to support anticipated growth ahead of us as mentioned by Michael earlier, and as you can see recently the progress has been realized through multiple avenues. And these avenues will drive growth going forward. I want to end by saying I'm very proud of our team for making this progress possible, especially during the constraints of COVID-19 and they've done a great job. I'm now going to turn this over to Michael Rama, our CFO to run you through some specifics for the results of the quarter. Here you go Michael.
Michael Rama: Thank you, Brendan and good afternoon everyone. Blink had a great second quarter, particularly in light of the COVID-19 pandemic. I thought it would be helpful to provide you with a quick overview of our business model. One unique advantage of the Blink business model is that we provide multiple options for our customers. This flexibility is key in our ability to quickly expand our network. Blink offers four business models for EV charging equipment and connectivity to our cloud-based EV charging network. We work with our property partners to help design a program that fits their needs. I will give you an overview of each of these models. First, we have the Blink Owned Turnkey model, which is utilized in high traffic locations with significant potential for high utilization. In this model, Blink provides the equipment, installation, operations, and administration of EV charger and shares a portion of the charging revenue with the host. Next is our Blink Owned the Hybrid model, which is our most common business model and fits more EV charging station locations. The hybrid option allows the location to quickly provide the charging station to their customers in a cost efficient manner. Blink covers the cost of equipment, operations and administration, whereas the host location is responsible for making the site ready for electrical wiring. Charging revenue is shared under the hybrid model. Third is our Host Owned model, which is for those who want to be the owner/operator of EV charging stations. The host location is solely responsible for the costs associated with the deployment of EV charging stations. This includes the electrical wiring, cost of the equipment, annual network fees, and costs of maintenance and operations. In the Host Owned option, the host location receives the entirety of the charging revenue minus network and processing fees. And the fourth option is, which is our newest business model is Blink as a Service, which is an exciting option for host locations that was both the flexibility of setting the EV charging rates on the equipment, but prefer not to have the upfront capital expenditure associated with purchasing the equipment. Blink provides the equipment, maintenance and operations for a low monthly cost for the duration of the contract. The host location receives the entirety of the charging revenue minus network and processing fees. Now moving on to some financial results for the second quarter of 2020. Revenues for the second quarter of 2020 grew 120% to $1.6 million compared to $716,000 for the second quarter of 2019. Hardware sales drove the revenue increase for the period with an increase to $1.3 million for the quarter, up from $282,000 last year. This increase was attributable to increased sales from our Gen 2 chargers, as well as our increased sales in our DC fast chargers when compared to the same period in 2019. Revenues for the six months ended June 30, 2020 grew 122% to $2.9 million compared to $1.3 million for the six months ended June 30, 2019. What is noteworthy here about the total revenues in the first half of 2020 surpassed the total revenues for the entire year of 2019. In terms of expenses, operating expenses for the quarter increased $3.4 million from $2.7 million, primarily driven by increased compensation expense as we continue to retool, reposition and strengthen our executive, marketing sales, IT and operations departments. We are unquestionably investing in people in preparation for and in part to create the dramatic growth we anticipate. Our net loss was $3 million for the second quarter of 2020, compared to a net loss of $2.2 million for the second quarter of 2019. And now a few comments on our cash and liquidity. At the close of the quarter we have $4 million in cash and marketable securities. Our financial condition has strengthened and the capital markets environment in the EV space has never been stronger. During the second quarter of 2020, we created a $20 million ATM program. Since April 17, 2020 through June 30, 2020, we sold an aggregate of 1.7 million shares of common stock under the ATM for aggregate proceeds of $4 million. However, in total through August 10, 2020, we sold 3.4 million shares of common stock on to the ATM for aggregate gross proceeds of approximately $17.8 million. As of August 12, 2020 we had cash of approximately $16 million. With that, we would now like to open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Sameer Joshi with H.C. Wainwright. Please proceed with your question.
Sameer Joshi: Hello, Michael, Mike, Brendan nice to talk to you. Thanks for taking my questions. Congratulations on a good quarter. The 662 units that you sold this quarter, under what model were they sold, where they sold as owned by the owner or was it one of the other models?
Michael Rama: I will take that. This is Michael Rama, thanks for joining the call today. Those units were actually deployments between our turnkey and hybrid model units, that is exclusive of the any hardware sales that we did. Those are strictly deployments of new in the Blink owned services.
Sameer Joshi: Okay, okay. The utilization, do you have any metrics on utilization of units that you have already installed? I think you have around 15,151 units deployed. Do you know how much they're being used by location?
Michael Rama: Sameer, at this time we're not disclosing utilization numbers. We may do so in the future, but at this point we're not. It's a sensitive business information you know it's, we need to keep that close to heart at this point.
Sameer Joshi: Understood, that's fair. As far as all these agreements that you have been signing, and actually good relationships with online [ph] and Cushman & Wakefield, do you have any, like in the next 6 to 12 to 24 months the scale of deployment, what are the revenues, number of units that you expect to deploy at these locations, and also with the Greek relationship?
Michael Farkas: To get into any specific numbers it would be somewhat difficult right now. All we could tell you is the business is growing at substantially the same rate as we've been growing before. Now with COVID, I would say being a little bit more under control, we should see even greater strides ahead of us.
Sameer Joshi: One last one before I jump back in queue. The charging service revenue understandably was lower, I guess because of less people driving. But, going forward or rather in July, August, have you seen any revival in that? It was $87,000 for this quarter relative to roughly 340 to 320 average last year, last five quarters.
Michael Farkas: Michael?
Michael Rama: Yes. In July, yes we've seen - we've definitely seen an uptick in the utilization and the charging stations, so it's just - it's supporting the people getting out starting to do things and so we expect that to continue as we work through the pandemic. And the issues are related to it, but we're definitely starting to see an uptick in the utilization in the charging stations.
Sameer Joshi: Got it. Thanks for taking my questions and congratulations on a good quarter. Thanks.
Michael Rama: Thank you.
Michael Farkas: Thank you.
Sameer Joshi: Thank you.
Operator: Thank you. Our next question comes from the line of Shawn Severson with Water Tower Research. Please proceed with your questions.
Shawn Severson: Thanks, good afternoon, gentlemen. I had a question regarding the international side of the business and wanted to dig into that a little deeper. One, kind of help us understand what the mix is today and do you have a target or longer term target? And then second, to that which of the four models seems to be most successful. Do you anticipate to be more successful International and are there any energy services opportunities on the back of some of those bad grid locations where you might be deploying units and managing units?
Michael Farkas: In most of our international deployments, we're selling hardware and we have a recurring revenue model. In our Greek relationship we participate in the deployment of those hardware with ongoing revenue participation. So it is not just the hardware sale. We're trying to model our business outside the U.S. similar to the way we do so in the U.S. and we want to make sure that we provide our customers with a solution that's right for them. If you look at our current deployments and due to the fact that we have amazing hardware and by far surpasses any of our competitors, we are seeing a big uptake as you can see from the numbers of the hardware sales, and we expect that to continue. We do want to focus our efforts on deploying as much hardware as possible on using our own capital. And we are looking for ways to deploy hardware without having to dilute our current shareholders.
Sameer Joshi: I guess that's a good lead into my next question that's regarding the services versus hardware, long-term service, business is very attractive from cash flow and usually consistency as well. I mean, how does it work when you approach say a new customer? Are they getting the sense that, they were trying to keep more of that services revenue or do you think there's a real value proposition that you can pitch to them that they, that you both make a lot of money and do well, with the services side? I'm just trying to understand if they're getting the mindset, we want to capture this ourselves or whether you're able to continue pushing a higher value proposition.
Michael Farkas: Well, what we try to do is, give the customer what they want. Property owners have their own models. Some of them want to own all infrastructure in their locations, that's their model, others don't. They outsource all different services. What we try to do instead of pushing what we want to give the customer, we really look and evaluate what the customer is currently doing and all the other types of deployments and then we try to fit it in accordingly.
Sameer Joshi: Okay, so last one, just on the acquisition strategy. I mean, can you give us an idea what the pipeline you see out there? I assume there is a lot of highly fragmented market and a lot of - lot of opportunities, but I mean, are you looking at a pipeline of 10 deals or two deals or 20 deals that you would be interested out there from a consolidation standpoint?
Michael Farkas: As mentioned earlier, we were the original consolidator, the first phase of consolidation done in this space on the Blink is six companies in Austin. We believe that there's a tremendous future in not only organic growth as we've been achieving, but really being able to buy some of our competitors. There's more than a couple of handful of really good potential acquisition targets out there and we're constantly looking for the right partners from the perspective of technology, footprint number one, and also very important people. There are a lot of small businesses in this industry, unfortunately, who really can't finance their growth properly. One of the things I mentioned before was about having grants for smaller companies, minority businesses that are able to get these grants, but unfortunately, they don't have the capital to put down wait 90 days and then get reimbursed. So we're going to be able to take advantage of a lot of opportunities out there. And the team is very, very experienced in M&A. And I believe that as in the past, we grew through acquisitions. I believe that is a central focus of ours.
Sameer Joshi: Thanks, guys. I’ll step back in the queue.
Operator: Thank you. Our next question comes from the line of Pam Stanley [Ph] with Carter Management. Please proceed with your question.
Unidentified Analyst: Hi, congratulations on the quarter first. My question is about the Cushman & Wakefield deal. It's certainly very exciting, but could you provide a bit more insight into how you are collaborating with them and what the breadth of the opportunity is?
Michael Farkas: The opportunity is tremendous. For us, Cushman is really a very natural partner. They have control over a tremendous amount of real estate that needs infrastructure. They're going to be using their sales staff to go to all of their properties and whatever type of property is across the board from A to Z and they are going to sell the Blink services for us. There are also going to be opportunities for them to handle from A to Z, not only site acquisition, but fulfillment and deployment of infrastructure. Cushman has tremendous reach. They have a lot of capabilities and we believe that it's going to be a game changer for the company.
Unidentified Analyst: Great, okay, thank you. That's, that's all from me now.
Operator: Thank you. Our next question comes from the line of Jennifer Wolford with Comstock Partners. Please proceed with your questions.
Jennifer Wolford: Hi, good afternoon. You guys, you're obviously in a competitive space and I'm just wondering if you could give us a little a little more color around the competitive landscape? And, kind of specifically what differentiates the Blink model from some of the competitors you're seeing out there?
Michael Farkas: I actually, I'm very happy you asked that question. It's a really important question because Blink is quite unique. When we talk about competition, yes, there are competitors, but there are none that are as vertically integrated as we are. And there are three different categories of EV charging companies; hardware vendors, hardware manufacturers, network companies, and owned and operate companies. And on the hardware side, you have the likes of BTC and Tritium and ABB and then you have network companies like Greenlots, which is now owned by Shell or Drives. And many other companies that provide both, like ChargePoint, SemaConnect and a couple of others. And then you have the owned and operate companies, Electrify America, EVgo. But we're the only one who does everything and there is a certain thing that you gain, certain knowledge experience that you have from site acquisition to host property and point of relationships, dealing with them all the information and data they need. Going out there and evaluating the site's themselves, doing the installations, maintaining and operating those charging stations and ultimately dealing with the customer who pays you for the service, the EV owner. That knowledge and that information that we've gathered from that stage of EV charging, we are able to incorporate into our hardware. And what we've done in our Level 2 AC charging stations has really changed the game. Our charging stations are much, much faster than our competitors. And while they try to build in obsolescence, we try to build out obsolescence. Why? Because we own the charging stations. So we make them a little bit better, we sweat a little bit more because we want them to last longer, because that's our model, our competitors really wanting to have to upgrade them, throw them in the garbage after a few years and buy new equipment. And we've designed this hardware for our own use. For us to own and operate in the field, to be very, very simple to maintain and install and very easy on interacting with the consumer, the end user, and having a tremendous amount of robust data that we could share with EV, host and owners. It's something about practical experience. And you could do it in the hardware, it's much more difficult to go design a piece of hardware when you're living in an ivory tower and don't know what it's like to install them and own them. And the same thing that we've done for Level 2 charging stations, we're now about to do with DC fast chargers and inductive charging stations. And we're going to integrate energy storage into these DC fast chargers and make it a very practical way to fuel your car because today using DC fast chargers is extremely expensive because the cost of electricity is a bit more because of the hardware costs, demand charges and others. But to answer your question, we're very unique. And because we offer multiple different business models, one is owning and operating them ourselves. Others are selling the hardware to the property owner/partner or partnering with them and doing what we call a hybrid deployment where we both contribute to that deployment. Our competitors have to walk out of the room, when one of these customers say, hey, I want to do this, and it's not something they do. And we're able to satisfy every single location because of our flexibility in deployment of hardware, and our models deploy hardware. And that's really what separates us from our competitors. Well, there's definitely competition. A lot of our, what we call competition, we collaborate with, in many ways, interoperability and other things. But the industry is really at its, I would say, embryonic phase, although we're about to embark on our 12th year of doing this, really we're at the beginning stage. If you look at the entire market, and the amount of charging stations that are needed in the future, we haven't even started.
Jennifer Wolford: Well, think that's I mean so comprehensive. I really appreciate all that that detail. Thank you.
Michael Farkas: You’re welcome.
Operator: Thank you. Our next question is a follow-up from Shawn Severson with Water Tower Research. Please proceed with your question.
Shawn Severson: Hi, I just want to go back to your kind of the expansion of the overall industry and kind of the pressure that that would put, of course on the grid as it stands today, which takes me to your energy services business. And I'm just trying to understand what the opportunity is for you, understand using partners through that, but, looking at micro grids and EEG as primary solutions for a lot of the upcoming strain that will be on the grid, just kind of get in your, your view on that and how that affects Blink and how you can profit from it actually?
Michael Farkas: It's a great question. When we started Blink, we really looked at the company as getting access to different properties, and we really viewed it as a land grab. And when we first started, there really wasn't even charging stations that were available to install. We really predated the industry completely, but we ultimately knew that once we partner with the property owner and we had charging stations there, we built a relationship with them, that we'd be able to introduce other products or services at those locations that has to do with EV charging. And whether that's being able to get renewable energy at that location or discounted power, or in order to deal with capacity issues, maybe recommended a LED conversion or some battery storage. There are a lot of opportunities to work with the sustainability groups that we deal with at these locations and introduce other services and at the same time, make money doing so. And our plan is to be able to assist our property owner/partners that we have thousands of and being able to aggregate our energy volume along with them and be able to help them reduce their cost of energy. It helps us and it gives our customers the ability of having a cheaper EV charging session. So there are a lot of ways for us to monetize our locations. There are also opportunities that we haven't really dealt with in the past that we're now going to incorporate into our business model, which is we have a lot of real estate on our charging stations. There are many, many opportunities to be able to make money off of it even more so that we're making other charging stations utilizing, advertising, capabilities on these charging stations. They're very noticeable. So we are looking to unlock our relationships with our property owners, and have them participate in the revenues that we're going to generate and increase Blink’s revenue base by introducing other types of services that we can use to our charging stations.
Shawn Severson: Thanks, that was all for Michael.
Operator: Thank you. Ladies and gentlemen, at this time, I would like to turn the floor back to management for closing comments.
Michael Farkas: Thank you everyone for joining us. We are very excited about the increasing interest in our EV charging offering, our extended footprint, growing of our customer base and our new partnerships and we look forward to speaking with you again next quarter. Thank you everybody.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.